Operator: Good day, and welcome to Symantec's Fiscal First Quarter 2014 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss our First Quarter 2014 Results. With me today are Steve Bennett, Symantec's President and CEO; and James Beer, Executive Vice President and CFO. In a moment, I will turn the call over to Steve. He will discuss our execution during the quarter and provide some thoughts on our future. Then, James will provide highlights of our financial results, as well as outline our guidance assumptions. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental financial information has been posted on our website. Our prepared remarks will be available also on the website after the call is completed. Before we begin, I'd like to remind everyone that we made several financial reporting changes this quarter. These include reorganizing our business into 3 new segments, eliminating the Other segment and changing our accounting policy for commission expensing. We've included re-casted historical financials based on these changes in our supplemental doc and press release in order to provide you with comparable financials. Also, we provide year-over-year constant currency growth rates in our prepared remarks, unless otherwise stated. Earnings-per-share growth rates are provided on an as-reported basis only. A summary of our year-over-year constant currency and actual growth rates are included in our press release table and in our supplemental information. Some of the information discussed on this call, including our projections regarding revenue, operating results, EPS, cash flow from ops, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contained forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in these statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. Investors are encouraged to review the reconciliation of the non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and the supplemental doc. And now, I'd like to introduce our CEO, Mr. Steve Bennett.
Stephen M. Bennett: Thanks, Helyn, and good afternoon, everyone. I'd like to start by saying how proud I am of the team's execution this quarter. In a period of significant organizational change, we grew organic revenue by 3% and expanded non-GAAP operating margins to 25.3%. Over the past 12 months, the team has made significant progress transforming the company. By the end of July, we will be almost done with our organizational simplification initiative, bringing the number of management layers and spans of control closer to industry standards and reducing our management structure by 30% to 40%. In addition, we removed some redundancies across the organization during the last quarter resulting in the elimination of some individual contributor positions. From a strategic perspective, our better-than-expected results were driven by strength in some of our largest businesses, like Endpoint Security and Enterprise Backup. Our Endpoint Security business grew again this quarter, driven by the strength of our offerings. And our Enterprise Backup business continues its strong double-digit growth as we focus on simplifying the complexity inherent in today's backup environments. By delivering an easy-to-use integrated backup appliance that addresses customers' unmet and underserved needs, we have gained share and driven higher top line organic growth for the company. While we are pleased with our progress on many fronts, we have some areas where we still have some improvement opportunities, one being Backup Exec. We believe we're on the right track to resuming growth in fiscal year '15. Last week, we delivered a Backup Exec release focused on expanding platform support and improving quality. We're also optimistic about another Backup Exec release planned for the end of this fiscal year that will address migration issues and provide additional capabilities that will benefit our customers. From an FY '14 financial perspective, we are reiterating our revenue guidance of 0% to 2% growth with a 200-basis-point improvement in operating margins. In the near term, we're factoring uncertainty associated with implementing additional go-to-market changes into our September quarter guidance. I'll let James provide the specifics of our guidance for the September quarter. Over the FY '15 to FY '17 timeframe, I remain confident we will deliver an organic revenue growth CAGR above 5% with greater than 30% operating margins. There are a number of reasons I'm confident in the future of Symantec. We've continued to deliver while both running the company and at the same time significantly changing the company. We continue to attract top senior-level talent who are signing on to be part of our important mission and want to be part of helping transform the company. I've never seen such a target-rich environment with so many large unmet, underserved customer needs in markets that are already growing 8% to 10% according to IDC reports. We're also excited about our new offering strategy with its 3 distinct elements. First, managing our existing point solutions in a more strategic way and being much more rigorous on resource allocation based on the market opportunity for each offering. Second, we are excited about the new integrated offerings that solve higher order, higher value customer problems. This will change the basis of competition in a way that is positive for us and delivers real value for our customers. And third, we can solve even larger customer problems and deliver even more value when we integrate our capabilities with selected other firms. This will help us win in the market and expand our available market. You've heard me talk about the network security providers as an example of this large opportunity. So where are we on these partnerships? In simple terms, we are in advanced discussions with network security partners, including running proof of concepts with selected beta customers. We want to have tangible benefits and proof points before we announce anything related to these partnerships. My team, customers and our partners are very excited about these opportunities and how they can benefit our joint customers. Stay tuned for future announcements. Let me share another thought. You may have read recently about a small but important acquisition we just closed. We acquired some technology assets and hired a technical team of PasswordBank, a provider of multifactor authentication, single sign-on and user management services. As a matter of fact, I'm heading over to see them next week on a European trip. I highlight this because this is the type of acquisition you should expect from us in the future, buying engineering teams and technology, not buying revenue. Our plan is to grow organically, and these types of acquisitions will complement and accelerate our internal innovation approach. Another big area of focus for the team has been on our go-to-market approach. In the second quarter, we're beginning the implementation of many of the changes we talked about in January. New roles for our sales force as hunters versus farmers and changing their incentives to be paid on new business. We're also beginning implementation of the change from a general sales force to one where the vast majority of either information security or information management solutions. We also started the implementation of a new centrally managed renewals organization, which will be up and running by the end of the fiscal year across the world. I'm optimistic that our offerings and go-to-market changes will lead to significantly improved longer-term performance for Symantec. In closing, I'd like to reflect briefly on my 1-year anniversary. I've never been more optimistic about the team and our opportunities. There's been a lot of positive changes at the company so far, and we can feel the momentum building. We've just begun to scratch the surface of what this company will become. I'm confident we have the right team in place to execute our multi-year roadmaps, implement our critical go-to-market changes, launch our new channel strategy and partner programs and continue to make progress on our successful transformation. We'll be satisfied when we reach our 5 and 30 goal, but that would mean we'd still be losing share. In my career, I've never run a business that lost share. So while we'd be satisfied with beating 5 and 30, we wouldn't be happy. We are setting our sights much higher. In the meantime, we'll continue to work hard executing our strategy and putting points on the board so we can consistently deliver better results for our employees, customers, partners and shareholders. Thanks for your support. And with that, I'll turn the call over to James.
James A. Beer: Thank you, Steve, and good afternoon. I'm pleased by our overall performance in the June quarter while we concurrently made progress towards simplifying our organization and planning for significant sales and go-to-market changes. In the September quarter, we'll be implementing our new sales organization structure, territories and compensation plan. June quarter GAAP revenue grew 3% in constant currency to $1.71 billion. Organic constant currency revenue also grew 3% year-over-year, driven by strength in our Backup, Information Security and Endpoint Security businesses. As more customers are choosing to purchase subscription services, our total subscription businesses grew 5% and accounted for 45% of total revenue compared to 44% of revenue in the year-ago period. Enterprise subscriptions, which exclude the Norton business, grew 12% and accounted for 15% of total revenue as compared to 14% in the prior year. In aggregate, 89% of total revenue was ratable in the June quarter. GAAP operating margin for the implement -- excuse me, in alignment with our 4.0 strategy, we created 3 new business segments. We also allocated certain shared expenses from the Other segment into our 3 new segments in order to provide a clearer picture of segment profitability. Now, to review the results of these new segments. The User Productivity & Protection segment, which is comprised of Endpoint Security and Management, encryption and mobile businesses, grew 1% to $732 million. We are pleased with the continued growth of our Endpoint Security businesses driven by growth in both Norton and Enterprise Endpoint Protection. We expect growth in our Endpoint Security businesses to be flattish for the balance of the fiscal year. This growth was offset by weakness in our Endpoint Management business due in part to customer uncertainty surrounding previous divestiture rumors in the early part of 2013. GAAP operating margin for the User Productivity & Production segment was 35%, flat year-over-year. The Information Security segment, which includes our authentication, mail and web security, hosted security services, data center security, MSS and DLP offerings, grew 9% to $336 million. Our trust services business continues to perform well, in part because many of our customers are choosing to protect more corporate website interactions rather than just the sites that involve e-commerce transactions. GAAP operating margin for the Information Security segment was 8% compared to negative 3% in the year-ago period as we begin to scale our emerging Information Security portfolio. The Information Management segment drew -- grew 4% to $641 million and is comprised of our offerings related to backup and recovery; information intelligence which includes archiving and e-Discovery; and information availability which we previously referred to as storage management. Our backup and recovery businesses grew high single digits, driven by double-digit growth in NetBackup, offset by continued weakness in Backup Exec. Strength continued in our integrated backup appliances as customers look for ways to simplify their expanding backup environments. According to a recent IDC report, our share of the backup appliance market for the first quarter of calendar 2013 has more than doubled year-over-year, driving us into the #2 share position. GAAP operating margin for the Information Management segment was down 4 percentage points year-over-year to 23% as we continue to invest in areas such as appliances and technical support. Turning now to total company margins. Non-GAAP gross margins declined 59 basis points year-over-year to 83.6% as we continue to grow our subscription and appliance businesses. GAAP operating margin was 13.1%, down 190 basis points year-over-year, driven primarily by $83 million in restructuring and transition charges. Employee layoff notifications occurred in May and June, as well as in the month of July. We expect the balance of our projected severance and benefits payments of $220 million to $250 million to be realized throughout the rest of the fiscal year. Non-GAAP operating margin was 25.3%, up 36 basis points year-over-year as increased commission expenses and investments in R&D were offset by top line growth and lower-than-expected OEM fees. Non-GAAP net income of $308 million resulted in fully diluted non-GAAP earnings per share of $0.44, up 7% year-over-year as reported, driven primarily by improved operating leverage from stronger-than-expected revenue performance. Deferred revenue was $3.81 billion, down sequentially as expected and in line with historical seasonal patterns. Year-over-year, deferred revenue grew 3%. We exited the quarter with cash, cash equivalents and short-term investments of $3.8 billion, following the maturity of our $1 billion of convertible notes. Approximately 41% of our cash balance resides onshore. In the June quarter, we returned $230 million to shareholders through a combination of share repurchases and dividends. On June 27, we paid our first dividend of $0.15 per share for a total of $105 million. We also spent $125 million to repurchase 5.2 million shares at an average share price of $23.96. Symantec has approximately $1 billion remaining in the current board authorized stock repurchase plan. Cash flow from operating activities for the June quarter totaled $312 million, down 8% year-over-year driven primarily by spending on operational improvements in areas such as support and our ongoing ERP implementation. Now, I'd like to spend a few minutes discussing our guidance. For FY '14, we reiterate our constant currency revenue guidance of 0% to 2% growth and non-GAAP operating margin expansion of 200 basis points. As a reminder, we continue to expect a currency headwind driven primarily by weakness in the yen. We also expect non-GAAP EPS to grow between 5% to 7% in FY '14. We have identified $350 million in annual spending that is not aligned with our 4.0 strategy. We have reallocated the majority of these resources to key growth opportunities, and the remaining savings will be used to expand operating margins in fiscal '14. As discussed last quarter, we expect cash flow from operations for fiscal year 2014 to be down approximately $200 million year-over-year driven by severance cash payments. Our September quarter guidance takes into consideration the significant changes our sales organization will be undergoing, as well as the associated risk. These changes include realigning our sales territories faster than expected, reducing costs through headcount reductions, redesigning the coverage model, launching the new renewals team, converting our generalist sales force to one that's specialized, focusing our sales organization on new business only and redefining compensation incentives. For the September 2013 quarter, we expect GAAP revenue to be in the range of $1.65 billion to $1.69 billion compared to $1.7 billion in the year-ago period. Approximately 77% or $1.28 billion of our September quarter revenue is estimated to come from the balance sheet. We expect GAAP operating margin to be in the range of 13.6% to 14.2% compared to 17.5% in the year-ago period. Non-GAAP operating margin is expected to be in the range of 25.8% to 26.4% compared to 27% last year. GAAP earnings per share are estimated to be between $0.22 and $0.24 as compared to $0.27 in the year-ago period. Non-GAAP earnings per share are estimated to be between $0.42 and $0.44 as compared to $0.45 in the year-ago period. We expect cash flow from operations to be down slightly year-over-year compared to the September 2012 quarter, driven by cash outflows related to severance payments. As part of our enhanced capital allocation strategy, we will issue a quarterly cash dividend of $0.15 per share, equivalent to a yield of 2.5% based on the closing stock price of $24.25 on July 25, 2013. Payment will occur on September 18 to shareholders of record on August 26. In addition to paying dividends, we will also continue to buy back our shares. Our guidance for both the quarter and the full year assumes an effective tax rate of 27.5%. We expect common stock equivalents for the quarter of approximately 705 million shares and expect our share count to remain flat for the full year. And now, I'll turn it over to Helyn so that we can start taking some of your questions.
Helyn Corcos: Thank you, James. Gwen, will you please start polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on our upcoming investor events. We'll be presenting at the Citi Global Technology Conference on September 4 in New York. We will be reporting our fiscal second quarter results on October 23. For a complete schedule of our investor-related events, please visit the Events section of the Investor Relations website. Gwen, we're ready for our first question.
Operator: We'll take our first question from Brad Zelnick with Macquarie.
Brad A. Zelnick: And great job especially considering all that's going on, not only at Symantec but in the environment more generally. Steve, on the product side, can you talk about the progress you're making on the new solution areas and when we might hear additional details on what the initial offerings look like? And is it fair to say that a changing product roadmap might have impacted customer decisions and caused some hesitation, the results might have otherwise been even better or am I stretching here?
Stephen M. Bennett: You're stretching. I think that we just shared with our sales force and obviously, we've been sharing with some of our customers these roadmaps when we had our Worldwide Sales and Marketing Conference a couple of weeks ago. And the feedback from both customers, partners and salespeople has been very, very positive. And so we are trying to figure out what the right path is. I know we'll talk about this at Investor Day next May, and my guess is there -- that you'll see some of this between now and then, and we don't really have a good path on this. But it's -- of the 10 new offerings that we announced, we still have 10. One didn't make it and we came up with the idea of one new one. And so your feedback, all of your feedback to Helyn and the best way for us to share some of these data would be helpful. But I think that it did not affect revenue in the current period, but we're excited about how it'll help us meet the 5% CAGR that we talked about longer term.
Brad A. Zelnick: Steve and James, you listed a good 1/2 dozen vectors of change to the sales model heading into 2Q. It seems unprecedented the degree of change. But is there any reference point in the past that gives confidence that your guidance sufficiently accounts for the risks associated with all these changes that you're making?
James A. Beer: Well, I think it's important to recognize how much of our revenue in the quarter is ratable. So I particularly drew reference in the June quarter to that 89% number. And for the September quarter, the starting balance sheet will drive 77% of our revenue. And then we'll add to that based on ratable activity from in-period sales. So I think that should give you some comfort as to the revenue guide that we put out there.
Brad A. Zelnick: And just a very quick follow-up, sir, just based on that comment, would it be fair to say that as we model deferreds into September that maybe we should exercise a little bit more conservatism than typical seasonality?
James A. Beer: I think that's probably appropriate. That would certainly be consistent with the approach that we've taken for setting the guidance range.
Operator: And we'll go next to John DiFucci with JPMorgan.
John S. DiFucci: Steve, it sounds like you started separating...
Helyn Corcos: John, we can't hear you. Can you speak up please? [Technical Difficulty]
John S. DiFucci: Steve, it sounds like you started separating maintenance renewals from the sale of new business this quarter, or at least got the ball rolling. But I think either you or James said that you'll have the renewals team fully up and running by the end of the fiscal year. I guess, can you give us a little more detail on the status of that? Are you rolling that out regionally? And if you are, where are you, I guess, here in the -- I would assume, you would -- if you're going to do that, you might do it here in the U.S. first. But can you give us a little more detail on that? That would be helpful.
Stephen M. Bennett: Yes, I think, John, what we talked about was we're rolling it out in a thoughtful way as we talked about, going as fast as we feel comfortable with given all the moving parts. And so we're not going to release kind of the details by country or geo, and I think it'll be different in Asia Pacific based on the different languages that there might be in the U.S. or Europe. And so I think the -- we launched in the second quarter in some geographies, and some will come in later in the year and we expect to launch in all of them between now and the end of the fiscal year. I think that's kind of what we wanted to talk about at this point.
John S. DiFucci: Okay. And if I could, James, you maintained a constant currency guidance for the year for the top line of 0% to 2% growth. Our math would indicate the reported numbers, given where the currencies are today relative to a year ago, would indicate something in the order of minus 2% to 0% growth. Because I think there's -- the reason I'm asking is because I think there's some confusion out there with investors. Is that accurate? Would that be the reported if it's 0% to 2% constant currency?
Stephen M. Bennett: Yes, that would be consistent with the sort of headwind that we're looking at in that range, yes.
Operator: And we'll go next to Keith Weiss with Morgan Stanley.
Keith Weiss: I was hoping you could give us a little bit of a mark-to-market on where we are with particularly some of these changes in the sales reorg. We often look at sort of the beginning of fiscal year as the time that these sale changes take place, granted this might be a little bit of a different scenario considering you overall rework. But to what degree do these sales changes start in Q1? How far are we through them when you look to this stuff about realigning sales territories and redesigning the coverage models and stuff like that?
Stephen M. Bennett: I think we shared what we wanted to share, Keith. And we said that we turned on the renewals part in some parts of the world in Q2 that -- and that we are in the process of implementing new territories and James' Information Management and Information Security specialization. And those changes are in play and they're going to happen between now and the end of the fiscal year where we're going to implement all the changes that we talked about in some sequential fashion. Yes, so none of those changes were in place in Q1. And we have a traditional model where an enterprise field salesperson was getting compensated on new and renew, but that was really for the last time. But what was covered in Q1 is that we eliminated and changed the entire management structure of the sales force, so it's not that the sales force was not impacted in -- but we impacted sales management in Q1, but not salespeople. Now, we start with some changes that are affecting salespeople.
Keith Weiss: Got it. If I could sneak one more in, one of the concerns heading into the new fiscal year was the idea that perhaps at the end of your prior fiscal year, salespeople seeing these changes on the horizon would have drained the pipeline. Obviously, we didn't see that impact in Q1 results. How are you guys feeling about the overall pipeline right now? Are the build rates -- are they sort of in line with your expectations?
Stephen M. Bennett: I think we feel surprisingly good. We've looked at the data for the first 3 months of the second quarter and we're ahead of the previous year. So we did not see -- and we put governors on the amount of renewals so that people could get commissioned on in Q1, so we actually feel like -- that we managed Q1 -- we didn't try and maximize Q1. I think it happened naturally, and we're ahead of where we were through the first 3 weeks of July versus last year, and so we feel quite excited about. I think the thing that's most important is there's a lot of positive energy in our company you right now, and we've gone through some tough changes in Q1. We're going to go through some more in Q2. But there's a lot of positive energy from all of our employees, and I think they like what's going and I think they're stepping up their game. And that's sometimes hard to predict, the impact that will have at the end of the quarter. But there's a lot of positive momentum for us in -- with our employees.
Operator: We'll go next to Walter Pritchard with Citi.
Walter H. Pritchard: James, I want to ask you about the expense impact here of the restructuring that you saw in the quarter. And could you help us out in understanding the, I think it was $996 million in OpEx? How much of that had the restructuring in it and how much is still to come in terms of -- I know you've had kind of a mid-quarter impact of the actions you took?
James A. Beer: Yes, so our restructuring and transition expenses are GAAP-only items. And so that's $83 million for the quarter, and the significant majority of that was driven by severance, the balance was driven by ongoing ERP implementation. So I would expect that we'd see a larger number in Q2 as we build on through our reorganization process. We've got through very significant majority of the employee notifications at this point. The activity in terms of booking the severance and so forth comes a little later.
Walter H. Pritchard: Got it. I guess I was more focused on the ongoing run rate of expenses and understanding that you probably didn't see the full benefit of the restructuring, the restructuring on the run rate of OpEx, not the charges you were taking. Can you talk about just the run rate of expenses that you saw in the June quarter and how much of those come down just simply based on having a full quarter impact of that -- those actions you took mid-quarter [indiscernible] June quarter?
James A. Beer: Yes, we saw relatively little impact in the June quarter just because of the timing of what I was mentioning a little earlier there. And so I would expect that to start picking up in the September quarter and be getting closer to a full quarterly run rate in the third quarter.
Stephen M. Bennett: Well, the restructuring impact will be picking up. But the cost -- the benefits will be starting to -- the cost base will start to go down, yes, and we'll see more of that in Q2. And then in the second half will be more into the full run rate benefit, if you will.
Operator: We'll go next to Brent Thill with UBS.
Brent Thill: Steve, from an operational alignment, is there a milemarker you could give us a sense of kind of how far you are through unveiling the playbook you want to put in place? Are you 60%, 70% of the way through? Are you 40%? I don't know what the right number to think about, but can you give us a sense of, just from a high level, where you're at and maybe the next big things that you feel like you need to do now considering the success of the initial plan?
Stephen M. Bennett: We're at the 1-mile mark in a marathon, so 1-mile mark out of 26 miles. And the flywheel is just starting to spin. We had our officers' meeting where we got the top 140 people in the company together a couple of weeks ago. I will tell you, the people that were here before and are still here are different people than they were a year ago in a positive sense, and I shared an interesting statistic with the officers that investors probably should see, too. Of the top 12 people that were running the company a year ago, 7 are no longer with the company. And our officer population, which was 146, I think, a year ago, 70 are no longer with the company. So we've had quite a significant leadership transition. We've attracted some great talent from the outside, and the 70-plus officers that were here a year ago, that are still here, including both James and Helyn, are different people in a positive sense than they were a year ago. So we're -- but we're at the 1-mile marker on a long-term journey and there's no big silver bullets, there's no big catalysts here. It's going to be slow and steady, build a foundation a brick at a time and continue to -- on the path to make this company the best that it can be.
Operator: And we'll take our next question from Phil Winslow with Crédit Suisse.
Philip Winslow: Just to build on some of the prior questions asked about sort of just where we are in terms of just the changes into the sales force. Clearly, some went into this quarter, some of it sounds like it's going to be going on here in fiscal Q2. But when do you sort of expect to have, for example, your most quotas in place, the realignment on sort of the complete rollout of the renewals team kind of as you think of sort of milemarkers over the course of this year?
Stephen M. Bennett: Okay, I think we're not going to give you guys the details you keep asking for because we don't want to be held accountable to the timeline details on implementing something that we're moving as fast as we can. I think it's safe to say that more will happen earlier rather than later, but that will be complete by the end of the fiscal year.
Philip Winslow: Okay. Then just to slide one in there. I guess with some of the relationships you have on the PC OEM side, just wondering if you could give us an update just on your kind of general thinking about the upsides or the downside from those with some of these and once come up for renewal over the next couple of years?
James A. Beer: Yes, I think that as we've been quite clear on in the past, nothing has changed. And current deals we have are not attractive to us, and we'd be financially ahead if we didn't have the deals we have. And it might hurt us a little bit on revenue, but we'd be financially ahead. That hasn't changed, and so we don't know what's going to happen. Time will tell. We're not going to sign another money-losing deal, I can guarantee you on that. And so time will tell and we'll see how that all plays out.
Operator: We'll go next to Aaron Schwartz with Jefferies.
Aaron Schwartz: Steve, you've talked a lot about partnerships with other security companies. I think you've also referred to this maybe as the information security service. But I apologize for asking the stupid question here, but maybe you could help us out with sort of how the economics of those transactions will work if you sell that to your customer base? And then maybe for James, is that more of a sort of ratable model? Should we expect a little bit different shift over the years as this gains some traction?
Stephen M. Bennett: I think -- no, I think it's actually a really good question. And I think the answer is it'll be completely a service, it will completely ratable, so I can handle that one for James. I think the concept here is MSS on steroids with much broader and more capability, which integrates our stuff into a platform with third-party stuff. Because as we said in the third element of our offering strategy that we've learned that we can integrate with third parties to deliver even more value for customers, and we're working on those deals. I have a meeting tomorrow actually with one of them, and we've been having meetings for quite a while. So I think it will be completely of service, and you'll start to see modules of that coming in the roadmap as early as within 6 months. And so -- but it will be a slow and steady release of these new capabilities, that's why they're multi-year roadmaps, and we're very excited about it. Every CIO I've talked to about this ISS concept said, "If you had that, I'd buy it". And how will the economics work? We haven't figured all that out yet, but we will deliver a lot of value to customers. And my view is we will get paid for the value we deliver for customers because we will save them a lot of money and we'll also have nice margins in those services.
Aaron Schwartz: Okay. And a quick follow-up, if I could. You talked a lot about some of the changes at the sales management level. But last week, you also talked or had a release out of some several senior management additions to the company. Are you complete on sort of that higher-level management additions there? Can you just update on that side of it?
Stephen M. Bennett: Well, we just hired a CMO and we're -- I think their first day is Thursday. And so that is a really, really key hire for us and we've got really a spectacular individual that's chosen to join our team as the CMO. And I think we -- at the top, we're pretty -- in pretty good shape. I think we'll continue to evolve. And we have high-performance standards here, so that doesn't mean we'll ever be done. I think we'll continue to evolve. But I think for the most part, in the top 23 or 24 people that sit around the table with me every 2 weeks and run the company, I think we've got a strong team and it's getting better individually and collectively. And I'm very excited about the progress we're making.
Operator: We'll go next to James Wesman with Raymond James.
James Wesman: It's James Wesman sitting in for Michael. First question, on the User Productivity & Protection division, how do you feel it will be impacted by PC shipments? I know you'd said you felt the Endpoint business would be flat, but there are other tech vendors that have said that they thought PCs would likely be down double digits next quarter and down for the foreseeable future. Do you feel like that division can grow for the quarter and for the year with this set?
Stephen M. Bennett: We just did. I mean, we just told you that we just grew in Endpoint today despite headwinds in Altiris, we grew Norton and we grew our SEP Enterprise business. So the -- and we're also doing well in mobile. Actually, I just saw an e-mail beforehand. We just got a $1.4 million mobile deal from a very large retailer, so I think that just booked like today. So I think that we've estimated in all of our forecasts, in 5 and 30, that the Endpoint market was going to be flat. So that said, we grew Norton and we grew our Enterprise Endpoint business this quarter despite PC sales. So I think this big focus on PC sales having some dramatic impact on Symantec is -- was a great question 10 years ago, to be honest, when that was really all we did. But this is a much more diversified portfolio now, and we do all sorts of different things. And so I don't think PC sales has a huge positive or negative impact on us because of all the other opportunities that we're in that are growing double digits. And as we shift our focus from markets that aren't growing to markets that are and do some innovation, I think we can more than offset the flat growth that we expect in the Endpoint business.
James Wesman: Got it. And a quick follow-up for James. James, gross margins were down slightly year-over-year this quarter, makes sense with the appliance SaaS businesses growing. Should we expect that trend to continue for the rest of the year and for the foreseeable future?
James A. Beer: Well, I think that we'll continue to grow our appliances and subscription businesses, but at the same time, we'll continue to look for ways to make more efficient and effective the costs that create the COGS. So I think directionally, I'd be looking for gross margins around where they are at the moment. So that's what we're focusing on.
Stephen M. Bennett: And a thing I would add to that -- James, I would add to that is this is an important thing for -- at least philosophically, for me to share. At the end of the day, we're solving for in a committed operating margin increases. Gross margins are driven by the mix of business and all sorts of other things. And so some of the new products that we're going to grow -- are going to have different gross margin structure, and that's -- we're going to be competitive and we're going to grow. So at the end of the day, it's important for investors, at least to know my very strong philosophy, it's about revenue growth, organic revenue growth and operating margin expansion. And so I felt like I was compelled to share that today.
Operator: We'll go next to Robert Breza with RBC Capital Markets.
Robert P. Breza: Steve, I was wondering if you could just comment a little bit, as you're moving more into the kind of services marketplace, do you see yourself competing more against service providers being more of a partner? How do you think about that relationship?
Stephen M. Bennett: Yes, I think that's a really -- Robert, I think that's a really good question. I think as we are in the process of, and I'm intimately involved in a whole new kind of channel strategy for us where I think we have all sorts of interesting opportunities, one of the big things we're talking about is exactly that point that you brought up. And so stay tuned for that. At some point here, it's one of the things that we've talked about in terms of go-to-market enhancements that we think is going to create a lot of value for both the channel and for our customers and allow us to be, frankly, more productive is to have a really powerful partner and channel strategy and program, which we really didn't have in the past. Our strategy in the past was everybody sells everything, that was our channel strategy. And so we're going to be much more strategic, and I think one of the areas we're focusing a lot on is service providers, whether they'd be telcos or whether they'd be some of the hosted service providers and how do we have right-for-me offerings and value propositions for these different channels and have a much more strategic look. And so I think it's a big opportunity for us and stay tuned for some additional insight from us as we firm that up.
Robert P. Breza: Great. Maybe as a follow-up just pertains -- if you think about taxes, it's always difficult for us, do you see any significant change as we go into next year as you kind of start off this year from a tax rate perspective?
James A. Beer: No, I wouldn't expect significant changes to the tax rate, so I'd stick with the 27.5% guide.
Operator: And we'll go next to Kash Rangan with Merrill Lynch.
Kash G. Rangan: One question for you, Steve. What -- can you share a little bit more details on the changes in the go-to-market strategy from a sales standpoint starting this quarter? And one for you James. We've heard quite a few numbers here, $350 million in savings. And you expect next year's cash flow -- or this year's cash flow rather to be down by about $200 million. Can you just walk us through how the restructuring items in the payouts are going to be impacting your financial statements over the next couple of quarters?
James A. Beer: Okay, so in terms of the $350 million of cost that we've identified is not being consistent with the strategy. We have redirected the majority of those to things that are important for the strategy that are going to drive growth. And the remaining money, we're letting it drop to the bottom line to achieve our 200-basis-point margin improvement goal. In terms of cash flow, that will be impacted obviously by the severance charges that we'll be expecting to pay out over the coming several months here. So that will really be the driver. I would expect, beyond this transitional period, to see our cash flow from operations growing consistent directionally with our operating profit growth.
Stephen M. Bennett: So one thing I would add to that, I think it's important for investors to understand, of the $350 million that James talked about, where we're giving $100 million to investors in terms of margin expansion. On the $250 million that we're reinvesting, I think it's important for investors to understand that 80% of that is being invested in things that will produce no fiscal year '14 benefit. So we really have shifted the focus to put more money into things that are going to power longer term growth, and we're quite excited about -- that's a big change for us. And so 80% on no fiscal year '14 benefit and $50 million of that $250 million, we think, could have some impact later on this year.
Kash G. Rangan: And on the go-to-market, Steve, if you don't mind?
Stephen M. Bennett: Yes. So if you want to just repeat that question?
Kash G. Rangan: Yes, the -- I was curious on what exactly any specificity on the changes in the go-to-market strategy that you envision if -- starting this quarter, better sales alignment, focus? I just wanted to understand the specifics of what exactly is being done.
Stephen M. Bennett: I think the more macro thought is we've got really 4 or 5 things that we are implementing this year starting in the second quarter, and I think you've heard about all of them between the scripts today. One is we're launching the renewals team. Two, we're changing our sales force from farmers to hunters and paying only on new business. Three, we're focusing the majority of our sales force on being information management or information security specialists. Four, we're working on a new channel strategy that we talked about. And five, we are in the process of retooling our sales incentives over time to pay on profit and revenue, but that won't affect us until fiscal year '15. So those are really the 5 levers that we are filtering in between now and the last one, which will be a fiscal year '15 impact. And so we're not going to get into the details on when we're doing what by country or region or all of that or all those things. We just kind of shared those are the 5 major things we're implementing, and we're doing it as fast as we can and as thoughtful as we can to minimize disruption, all of which we are confident are going to make us a higher performing, faster growth company in the long term.
Operator: And we'll go next to Raimo Lenschow with Barclays.
Raimo Lenschow: I just wanted to shift here a little bit. We talked a lot about the internal drivers for your performance. Can you talk a little bit about what you see in macro? There's a big debate over the things are getting slightly better or not, and I'm just -- specifically wanted to focus on the deals over $1 million, which was up quite significantly year-over-year, but then also kind of talk a little bit about the regions. Asia seems to be the weak spot for a lot of people. Your growth there was 1% still good, but probably the bigger part of their performance overall. So just what are you seeing there?
James A. Beer: Well, I'd say in terms of the macro economy, just slow, steady improvements. There -- fundamentally, there's good demand for both the storage and the security side of our product access. And we've got a terrific set of point products in the market today. And as you've heard, we're busy building the integrated offerings to complement those current products. In terms of the big deals, yes, we were pleased that both the greater than a $1 million and greater than $300k-type deals were off significantly. Those stats can move around from one quarter to another. Geographically, pleased with the European result there at 6% growth, obviously, challenging macro backdrop in Europe, very steady Americas growth as well. Asia, yes, 1%. The story there was around Japan, where we saw some weakness around Norton on the retail level. And in the previous quarter, Q4, Japan had a particularly strong Enterprise quarter. So again, we feel comfortable with the trajectory of the business in Asia Pacific.
Operator: And we'll go next to Gregg Moskowitz with Cowen.
Gregg S. Moskowitz: Your information security business grew 9% constant currency and you referenced trust services being strong, just wondering what else in particular did well in that segment to get to that level of growth?
James A. Beer: Well, it was really a range of the different offerings there. So I wouldn't call out anything particularly beyond there were several of the product areas, DLP, Managed Security Services, so it was a good result all around.
Gregg S. Moskowitz: Okay. And then I know you've been investing a lot in that segment, but your operating margins were only 4% last year, although it did improve to high single digits this quarter. Steve, what sort of margin, I guess, do you aspire to for that segment if you look out 2 to 3 years or so?
Stephen M. Bennett: Yes, I think it's a good question, Gregg. And I'm not sure we know because we are investing a lot and we're -- but we're breaking down a lot of barriers in these new offerings and we've had all these silos and redundancies. And so I think this is one of the variables we have to play with. It's a growth market, and we've got good positions and we think we can grow faster and we think we can improve the margins. And I don't have a kind of -- I don't know enough to have an opinion about whether it should be a 25% operating margin business. But I think the more meta point that you're alluding to is over time, my philosophy on this, and some of you have heard me say this, is, look, we want to deliver against the 5 and 30 and put that in the rearview mirror and prove that. And then I think the discussion we're going to have, which is an extension, Gregg, of your question is, okay, now do we deliver more margin or do we deliver faster organic growth and how do we tradeoff between those 2? So my focus at this point is to get over the 5 and 30 hurdle, frankly, as fast as we can. And then second, start -- we'll know more at that point because that's not going to be next quarter. That might be in 1 year, 1.5 years or 2 years. Then we'll know more about our team's ability to execute and invest and deliver, and then we'll have the discussion about operating margin expansion versus organic revenue growth. And at the end, my bias would be the market opportunities are there, the faster we can drive organic growth, the more leverage -- the more value we're going to create for our shareholders. But that's where everybody rightfully is the most skeptical, so let's prove 5 and 30 and then have this discussion after we're over the 5 and 30 bar. So if I could -- I love your question, I'd love to defer it for 1 year or 2 and then have it. And you can hold me to that, bring that up in a couple of years when we're above the hurdle.
Operator: And we'll take our last question from Steve Ashley with Robert W. Baird.
Chaitanya Yaramada: This is Chaitanya Yaramada for Steve Ashley. Just had a question on sales quotas, and I know a lot of things are changing. But could you comment on maybe how the aggregate sales quarter may look like at the end of this year, this fiscal year compared to last fiscal year? And also you'll be handling these renewals through a separate team by the end of the year, so allowing the sales reps to focus on new business. So how -- what does that mean for sales rep quotas and how will you structure that?
Stephen M. Bennett: Well, the sales rep quotas are going to go down because they're only focused on new business. And the renewals team will have the quota for renewals. So look, I think -- hopefully, you can trust us to manage that because that's a pretty basic thing when you're running a $7 billion company. I think at the end of the day, we believe we're going to have better performance on both fronts because we have focus on new license and incentives aligned with that and we have focus and incentives aligned on renewals. And I think that focus and leadership from the top down will produce better outcomes, and we're quite confident since that's really the norm for everybody else in the industry. Other -- that's a better way to run the railroad. And so we're just copying other people's best practices a few years after they all went that way.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back to Steve Bennett for any closing remarks.
Stephen M. Bennett: So, everybody, thanks for the support. I really am pleased with the performance this quarter. It was way above what I expected. We've been thoughtful about what we've shared. In the next quarter, we're going to try and do the best we can do, but there is some uncertainty and we're quite confident about the 0% to 2% for the year and the path to the 30% margins or the 200 basis points for this year, anyway. But there's a lot of moving parts, and I hope you don't get ahead of me here, which you could, because there's a lot of uncertainty. But at the end of the day, we're going to make this company the best we can be. But we're solving -- we're creating long-term value, not short-term value. And so we're going to take any kind of short-term transition pain to get it right so that we can make this 5 and 30 commitment we made in the January announcement. So thanks for your support and look forward to reporting on how we delivered in the second quarter and maybe to see some of you at the Citi Conference in New York. Goodbye, everybody.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.